Operator: Good morning, and welcome to the LGI Homes 2014 Second Quarter Earnings Conference Call. Today’s call is being recorded and a replay will be available on the company’s website later today at www.lgihomes.com. We have allocated an hour for prepared remarks and Q&A. (Operator Instructions). At this time I will turn the call over to Rachel Eaton, Chief Marketing Officer at LGI Homes. Ms. Eaton, you may begin.
Rachel Eaton: Thank you Charlotte. Good morning and welcome to the LGI Homes conference call discussing our results for the second quarter of 2014. Today’s conference call will contain forward-looking statements that include, among other things, statements regarding LGI’s business strategy outlook, plans and objective. All such statements reflect current expectations. However they do involve assumptions, estimates and other risk and uncertainties that could cause our expectations to prove to be incorrect. You should review our filings with the SEC, including our risk factors for a discussion of the risk, uncertainties and other factors that could cause our actual results to differ materially from those anticipated in these forward-looking statements. These forward-looking statements are not guarantees of future performance. You should consider these forward-looking statements in light of the related risks and you should not place undue reliance on these forward-looking statements, which speak only as of the date of this conference call. The pro forma financial information discussed on this calls gives effect to the acquisitions completed on November 13, 2013 of certain joint venture interests that we did not previously own prior to our IPO. Please refer to the unaudited pro forma statements of operation included in today’s release and our previously filed 10-K. Additionally certain non-GAAP financial measures will be discussed on this conference call. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most comparable prepare in accordance with GAAP are included in earnings press release that we issued this morning and in our quarterly report on Form 10-Q for the second quarter of 2014 that will be filed with the SEC later today. This filing will be acceptable on the SEC’s website and in the investor section at our website at www.lgihomes.com. Joining me today are Eric Lipar, LGI Homes’ Chief Executive Officer and Chairman of the Board, Charles Merdian, the company’s Chief Financial Officer, Secretary and Treasurer and Meg Britton, the company’s Chief Administrative Officer. With that I will now turn the call over to Eric.
Eric Lipar: Thank you Rachel and good morning everyone. We appreciate you are joining us today and are please to share our results. On the call this morning I will summarize the highlights from the second quarter and year-to-date. Then Charles will discuss our financial results in more detail. After he is done I will conclude with comments on what we are seeing in this quarter and our expectations for the remainder of 2014 and then we will open the call for questions. Our second quarter results contributed to a very solid first-half of the year. We set an all-time record for home closings during a single month with 243 homes closed in June. This resulted in record-setting 662 homes closed during the second quarter, finishing the first six months of the year with a total of 1,147 homes closed which is approximately a 73% increase over the first six months in 2013. In addition we celebrated our 7,000 home closing. During the second quarter home sales revenue increased approximately 77%, to $106.4 million compared to the second quarter of ‘13. The increase in home sales revenues is primarily due to the increase in the numbers of homes closed in active selling communities as well as an increase in the average home sales prices. For the quarter our average sales price reached a new high, coming at a $160,744. This represents a 9.7%, over the second quarter of previous year. This increase is a result of a shift in product mix and increased pricing to offset rising construction cost. We ended the quarter with 31 active selling communities, representing year-over-year growth of approximately 72% from 18 active selling communities in 2013. Since the first quarter of 2014 we added three new communities, one each in our Albuquerque, Atlanta and Tampa markets. Community absorption rates were above expectations for the quarter at 7.4 per month. Throughout the quarter we saw success across all of our divisions, particularly our Texas division which averaged approximately nine closings per community per month. This division increased loan closing 31% to 465 closings from 355 closings in the second quarter of 2013. While Texas made up approximately 70% of our closings for the quarter we are continuing to see strong closing growth outside of Texas. We have increased our [out of state] closing to 197 during this quarter from 56 during the second quarter of 2013. While we continue to expand and execute our growth strategy we feel that Texas will continue to be our leading division. This division continues to perform well compared to other divisions and has helped us deliver strong results. We believe that the Texas economy will rein on the [rest of the] economies in the foreseeable future and that it will be leader in job growth and housing demand. Specifically in Texas we have seen the strongest performance in the Houston market. Our top six communities and closings for this quarter were all located in this market. Although our business continues to be strongly centered on our classic series, our traditional entry level product this quarter we have further diversified our product lines in both price point and location. During the remainder of this year we plan to introduce our Hall of Fame series, increase the number of communities offering our Great Lake series and launch our home building operations in both the Denver and Charlotte Markets. We plan to drive future growth by continuing our successful operations, gaining market share within our existing markets, geographically expanding to new markets and adding higher price points. All of our offices nationwide are seeing stable demand as we continuously track the number of incoming leads into our communities. We continue to see a positive response to our Great Lake series product which ranges in price from 160’s to the 220’s. Our Presidential Glen community in Austin, Texas was the first community where we offered this product line with its higher end finishes. We mentioned on our last call that we are off to a great start in this community with 19 closings in the first quarter and we are pleased to report the second quarter was even stronger with 23 closings. These 23 closings had an average sales price of approximately $170,000. The homes in the Great Lake series include features such as a steeper roof edge, exterior shown [inaudible] and an upgraded land escape package. In addition during the second quarter we began the construction on our first community featuring our Hall of Fame series homes which we expect to have an average price point of approximately $350,000. The first project is located in San Antonio and the homes will be finished in the third quarter with sales starting before the end of the year. We believe that the plan for our move up product aligns with our expectation to grow our business by increasing the number of price points offered in some of our existing markets. We see opportunities to develop properties with multiple product lines and price points in the same communities and to deliver move-in ready homes at a higher price point. Given our past success in the entry level market we believe that our unique marketing approach, personalized customer service and structured sales process will produce exceptional results across price points. Furthermore we ended the quarter with an extensive portfolio of finished lots, land under development and raw land that represents approximately 20,000 owned and controlled lots of which 9,800 were owned. This is a 17% increase in owned and controlled lots over the previous quarter. With that I would like to turn the call over to Charles for a more in-depth review of our financial results.
Charles Merdian: Thanks Eric. For the quarter we reported $13.9 million in net income before taxes which was a 75.6% increase over the same quarter in the prior year. Also for the quarter we had earnings of $9 million or $0.43 per diluted share. As Eric mentioned home sales revenues for the quarter were $106.4 million, an increase of approximately 77% from the second quarter of 2013. And while approximately 70% of our revenues this quarter came from our Texas operation our revenues from outside the state of Texas have also increased and were $33.2 million this quarter, up from $8.4 million in the second quarter of last year. Adjusted gross margin of 27.9% was 40 basis points higher over the first quarter of this year. Adjusted gross margin excludes approximately $900,000 of cost of sales related to the step-up adjustment for real-estate inventory acquired in the GTIS acquisitions that were closed during the quarter. Selling expenses were $9.2 million or 8.6% of home sales revenue this quarter compared to 8.8% in the same quarter in the prior year and 9.7% in the first quarter of this year. General and administrative expenses were $5.3 million in the second quarter of this year or 5% of home sales revenue. This was 10 basis points lower than the same quarter in the prior year and 170 basis points lower than the first quarter of 2014. The decreases in selling and general administrative expenses as a percentage of home sales revenue were primarily due to the operating leverage realized in the quarter as we grew the top line. Income taxes totaled $4.9 million, representing an effective tax rate of approximately 35%. Net orders for the second quarter totaled 584 and ending backlog was 246 units. Turning to our balance sheet we had $42.9 million of cash, $220.6 million in real-estate inventory and total assets of $304.1 million. Our outstanding debt was $93.9 million, an increase of approximately $45 million over the previous quarter. And our equity at June 30th was $179 million resulting in a debt-to-capital ratio of approximately 34%. In April we had entered into an agreement with a syndicate of lenders to provide $135 million senior secured credit facility that could be increased up to $200 million. And in July we increased the amount available under the credit facility by $40 million to $175 million. And at this point I would like to turn it back over to Eric.
Eric Lipar: Thanks Charles. In summary we had another solid quarter and expect the momentum to continue throughout the rest of 2014. We believe there are several opportunities to grow our market share. Given our familiarity with Texas, Arizona, New Mexico, Florida and Georgia and the favorable demographic and economic trends that are forecast in these markets we expect to continue to see high growth in these areas. We also believe that we’ll grow our business by increasing the product offerings within our communities and delivering homes in number of price points in our existing markets. In all of our markets we are seeing a supply of finished lots dwindle. As a result we are acquiring more parcels of raw land that we will design, engineer and develop. As mentioned early in the call our average sales price in the second quarter increased approximately 10% over the second quarter of 2013 which we believe is reflective of a shift in product mix and increasing lot costs. We expect these trends will continue. We are forecasting absorptions for our community at our entry level communities to remain strong and stable but we are forecasting slightly lower absorption paces in our more expensive product types. We intend to expand into new markets or identify opportunities to build homes and develop communities that meet our profit and return objectives. We recently closed our first land acquisition in the Denver, Colorado market where we purchased 59 finished lots on the North side of Denver. We are expecting to start construction this quarter with sales starting before the end of the year. In addition we will continue to analyze other potential markets as we continue our efforts to expand into new geographies. We started the third quarter with 174 homes closed in July of 2014, up from 154 homes closed in same period of 2013. This brings us to a total of 1,321 closings for the year, a 61.9% increase over the first seven months of last year. Although our July closings do not exceed our record breaking month in June we believe we’re on track to hit our projected closings of 2,300 for the year. At the end of July 2014 we had 33 active selling communities compared to 18 active selling communities as of July 2013. We expect to open at least four new communities by year-end, giving us total of 37 active communities. Our strategy is to remain focused not only on our absorption rate but also on margins. As previously mentioned adjusted gross margin as a percentage of home sales revenues for the second quarter of 2014 increased to 27.9% from 27.5% for the first quarter of 2014. This is the result of our ability to raise prices to offset increased construction costs. We believe that through the quality of our homes, our unique sales process and the superior customer experience we will be able to maintain similar gross margins in the future. We believe our industry leading closings for community in combination with strong operating margins will continue to drive profitability. Last quarter we forecasted expected earnings per share to be between $1.22 and $1.30 per share. Based on our strong second quarter and assumptions that home sales prices, construction costs, overall absorption rates and mortgage availability will be consistent with recent experience we are increasing our expectations for earnings per share from a $1.22 to $1.30 to $1.30 to $1.38. In conclusion we are extremely optimistic on the remainder of 2014. We expect the demand for home ownership to remain strong and in combination with our LGI process we can capitalize on these favorable conditions. Now Charles and I’ll be happy to take any questions that you may have.
Operator: (Operator Instructions). Our first question comes from the line of Michael Rehaut from JPMorgan. Your line is now open.
Michael Rehaut – JPMorgan: Congrats on the quarter and the continued success.
Eric Lipar: Thanks Michael, appreciate it.
Michael Rehaut – JPMorgan: The first question I had was on the growth outlook. I guess not just for this year but starting to think about next year. You are obviously coming off of very strong growth rates. The projected year-end number on a year-over-year basis would moderate closer to around 50%. So I guess really I am going to put two questions into this. As you think about going into 2015, how much growth is going to come from the core entry level focus that you have versus the Great Lake and the Hall of Fame, is it still going to predominantly be driven by your core bread and butter product. And how should we think about growth rates over the next, in ‘15 and ‘16? You’ve obviously done incredibly well in ‘12 and ‘13 and into ‘14 but there looks to be a little bit of moderation. How to think about the next couple of years?
Eric Lipar: Great question, Mike. How I phrase that is certainly our focus will remain to be in our core, what we call classic series, our entry level product and continue to grow that product in all of our markets, especially the out-of-state markets. We look at certain sub markets, every area that we’re in and want to be in every corridor and we got most of those corridors filled up in Texas. But certainly in all the other markets, lots of room to grow in that product type. And as we mentioned during our statements, what we’re seeing is as we’re getting into more development and cost continue to increase, we see there is the necessity to raise prices and when we get into higher price points giving the consumer a few more of the nicer fit and finishes along with our Great Lake series seems to make a lot of sense. So I think growth will continue, we’re not ready to give guidance as far as numbers go for 2015 but you certainly can see that we’re adding a lot of communities. The communities that we recently added and plan on adding in the fourth quarter obviously aren’t going to impact closings too much in ‘14, they will be really driving 2015. So we expect the average price to continue to increase because of the mix and product and increasing costs, absorption of our entry-level product remaining very similar. And then once you get in the $200,000 plus price range, Michael little bit less absorption pace but we don’t expect margins to be any less, both in a gross standpoint or operating margin.
Michael Rehaut – JPMorgan: That’s helpful, Eric I appreciate it. And I guess just a clarification before I ask my second question. When you talk about Great Lakes and Hall of Fame and you also kind of mentioned the in same breath, development I believe, if I can interpret that I mean is it fair to say and because you also talked about expanding into new markets and there is still tremendous opportunity in the first time. But is it fair to say that particularly as you look at more development and perhaps taking on bigger land parcels from the development end, that the Great Lakes and Hall of Fame is going to be more of an outgrowth of just selective, opportunistic diversification of a bigger land parcel where you can kind of segment it, a little bit better and more efficiently. And that those communities would be more, from an opportunistic land utilization standpoint, given that particularly in some of your newer markets again I would expect that the primary, primary focus would just be doing your Classic series and your entry-level.
Eric Lipar: Yes. I’d agree with that. I mean certainly the products over $250,000 is not going to be a big part of our business but opportunistic will be great way to describe it. Very small percentage of our closings, as I’ve said before in 2015 will be over $250,000. But just that average sales price continues to increase Michael, just the main thing and the margins where there are at, with cost going up, the days of having a $130,000, $140,000 entry-level house just aren’t going to be there anymore. And that base entry-level house is going to the point, even in Texas where it’s $160,000 to $170,000 which is still a great value compared to rent but I can see that’s going to be our kind of base pricing on our Classic series houses.
Michael Rehaut – JPMorgan: Okay. And just the second question, just on the gross margin, you said that you expect on a pre-interest I guess pre-purchase accounting to remain similar going forward, which looks like it’s in the high 27s, the first quarter is 27.5% this quarter 27.9%. So maybe Charles, can you just give us an update in terms of expectations for the amount of purchase accounting you expect on a quarterly basis in the back half and also the interest amortization, would that kick up slightly? I mean you had $400,000 in 2Q, would that go up maybe a tiny bit in 3Q and 4Q just how to think about that?
Charles Merdian: Sure. At the end of the quarter we ended up with about $1.9 million remaining in the step up on the balance sheet. So we’re looking similar to what we communicated last quarter that, that should pace out at about $0.5 million a quarter, over the next couple of quarters and then it will tail off a little bit into 2015. And you are right on the interest fees, so you can see from our balance sheet that we’ve increased our debt balance, up to approximately $93 million. So my expectation would be that overtime the purchase accounting adjustment and the interest, really kind of take its place, so that there is 100 basis points to 125 basis points there of interest over the near-term.
Michael Rehaut – JPMorgan: Okay, so I mean but just translating that into dollars, you were at about $400,000 going up a little bit like $500,000 to $600,000 per quarter in the back half, does that make sense from given your recent transactions in the debt markets?
Charles Merdian: Yeah. I’d say that sounds fair for the third quarter and then the fourth quarter maybe slightly higher than that.
Michael Rehaut – JPMorgan: Great. Thank you. Congrats.
Charles Merdian: You bet.
Operator: Thank you. Our next question will be coming from the line of Nishu Sood from Deutsche Bank. Your line is now open.
Nishu Sood – Deutsche Bank: Thanks. I wanted to ask about the guidance. You mentioned closings at 2,300, which I think is the same number you had mentioned the last time you gave guidance. Also gross margins kind of staying at the levels that they currently are at. So what exactly then is the driver of the increase in the guidance range. I mean you have done – you have reached your SG&A goal of 14% you had mentioned a little bit earlier which is great to see. So what is the driver for the increase in guidance?
Charles Merdian: Yeah, Nishu, this is Charles. So good portion of the driver is the positive quarter. So we had a successful quarter in the second quarter. So that’s contributing to the actual results which allows us to push up. And then, as Eric mentioned maintaining gross margins and then holding steady at the 2,300 for our guidance gets us comfortable in our earnings per share guidance range.
Nishu Sood – Deutsche Bank: Got it. Okay. So the – your expectations for – your previous expectations that were incorporated for guidance, for margins gross margins were a little bit lower than, I take it?
Charles Merdian: They should have been very consistent.
Eric Lipar: Should have been consistent.
Nishu Sood – Deutsche Bank: Okay. So the closings number, the 2,300 for the year, it implies a similar number of closing in the back half of the year, from the first half of the year. Eric, you referenced this a little bit, that July pace of closings had dropped off a little bit, but it sounds like given that you are expecting closing pace to be similar in the back half of the year to the first half of the year that we should view the July drop off as just a monthly volatility, is that the correct way to think about it. So you will have a pickup back towards more towards kind of the closings absorptions pace of the kind seven-ish range as we kind of move forward in the year?
Eric Lipar: Yeah well I’d think of it, Nishu as we closed 1,321 through July. We’re guiding to at least 2,300 closing for the year. So roughly averaging about 200 a month and 200 month on average there will be month to month volatility. But 200 a month on average through the rest of the year to be a nice solid conservative estimate, feels about right to us.
Nishu Sood – Deutsche Bank: Got it. And just finally on the Hall of Fame series, as you are getting closer to going live with that in the San Antonio, much higher price point 300s versus the 100s range on the Classic. Any changes you are making to the model, let’s say on the options or the sales process or how you are communicating with the customers, fliers and the like any changes in that as you are getting closer to launch date or is it going to be very, very similar to the marketing approach that we’ve come to know?
Eric Lipar: Yeah, the marketing approach will be different in that product types. Obviously we won’t be sending direct mailers to people in rental apartments but certainly spending more money on advertising than the traditional builder. We do expect more of those sales to come as a result of referrals from realtors. And then once the marketing gets down to the sales person or gets down to our community, then the process that we use in the product price point will be very similar to what we use in our entry-level price point. Certainly not as much talk on credit and qualifications at that price point, but the process itself of educating the customer and taking them through a structured sales process, so they have a great experience and we can answer all their questions with a professionally trained sales person, that process is going to remain exactly the same. As far as the house, certainly it’s got a lot more upgrades and lot nicer fit and finishes when you are in that type of price range. We will also be offering different packages to the customer. So we will have four or five different floor plans, couple of different elevations of each floor plan, two or three different interior color packages. So the customers will have more choices but we’re not going to the level of a true option builder with design centers et cetera. And we plan on still building most of the houses in advance of sales at least to build up an inventory because we think there is a market to have some existing product on the ground, especially in this particular location in San Antonio.
Nishu Sood – Deutsche Bank: Okay, great. Thanks for the details.
Eric Lipar: You are welcome.
Operator: Thank you. (Operator Instructions). Our next question comes from the line of Michael Roxland from Bank of America. Your line is now open.
Michael Roxland – BofA Merrill Lynch: Thanks for taking my question and congrats on a very good quarter and solid first-half.
Eric Lipar: Thank you.
Michael Roxland – BofA Merrill Lynch: Just following from the prior questions, at around guidance and wondering your SG&A percentage was down significant in aggregate at about 13.5%-14%. That within the 14% normalized range you have been targeting on top of the fact that it’s come earlier then you were expecting. So was there anything in the core that aided SG&A and should we expect SG&A to be maintained at these as a percent of sales to be maintained at these level or increased, particularly as you do more marketing around the Hall of Fame series?
Charles Merdian: Yeah, Mike, this is Charles. Really the driver for SG&A in this quarter was the increase in the top-line. So I think we are still comfortable with our target range of 14% for SG&A as we move into the back half of the year. So really the absolute dollars in G&A we will see relatively consistent or increase over the next couple of quarters but what we were able to see in the second quarter was that the increase in the top line translated to the bottom line given the fixed cost nature of the majority of the selling expenses in the G&A.
Michael Roxland – BofA Merrill Lynch: Charles, I appreciate the color. I mean given the strong improvement in SG&A and also better gross margin why wouldn’t then we see a larger increase in your EPS guidance? I mean are there other factors that you want to be mindful of that serve as offsets to that? I mean so your increase is around $0.08, your total guidance but if SG&A is now at a better level than you have been expecting and there has been no change to your gross margin outlook or change to your deliveries, why wouldn’t we see a better or more pronounced increase in your EPS guidance?
Charles Merdian: Yeah sure, good question. So in the back half of the year, as Eric mentioned, we are moving into Denver, also moving to Charlotte. So those are coming in to play. We also talked earlier about the impact of interest flowing through the P&L. So we expect to see that happen in the back half of the year and then just general growth in the G&A line, just as we continue to build the infrastructure to support the growth that we are planning for the back half of the year.
Michael Roxland – BofA Merrill Lynch: Got you. Just last question I appreciate all the color. I mean should we see gross margins then to [cross] a little bit, particularly given the cost associated with the moves into the new areas and at the same point see your G&A move higher because you are building out your infrastructure?
Eric Lipar: Yeah, so on gross margin we still expect them to be in our normalized range, on an adjusted basis. They will be in the normalized range. As the purchase accounting tend to start to roll off in the back half of the quarter, back half of the year we will see the interest impact take its place. So we will see that there and then just the general increase in G&A in terms of absolute dollars as we move to the back half of the year.
Michael Roxland – BofA Merrill Lynch: Got you, appreciate all the color. Last question and I’ll turn it over. Just a housekeeping question, what were the orders and backlog for 2Q?
Charles Merdian: Orders, net orders for 2Q were 584, backlog was 246 units.
Michael Roxland – BofA Merrill Lynch: I appreciate all the color and good luck in the second-half.
Eric Lipar: Yeah, great. Thanks Mike.
Operator: Thank you. Our next question comes from the line of Brendan Lynch from Sidoti. Your line is now open.
Brendan Lynch – Sidoti & Company: Guys, thanks for taking my question.
Eric Lipar: Thanks.
Brendan Lynch – Sidoti & Company: You entered the South Carolina market and now Colorado as well. What you see as the opportunity going forward, are you looking at other new markets to enter or the opportunity is more to penetrate the existing markets that you currently have?
Eric Lipar: Brendan, this is Eric. I appreciate the call. I think we have got plenty of room to run in our existing market, certainly just getting started, as far as closings go in the Atlanta market, haven’t had any closings yet in the Denver and Charlotte market. We like both of those markets a lot. And we have now closed on our first land acquisition in both of those markets. So the answer is both, certainly looking at new markets to go into, nothing to announce yet, but we think our sales process will work really in any market of size in the country but really focused on our division leadership. We think is – are doing a great job and really expanding within the markets. For example we have leadership in the Florida, Tampa area and Phoenix leading our Southwest division in Atlanta and there are still cities within distance of those areas that we can expand into first. So I would answer the question as both, but primarily in our existing markets.
Brendan Lynch – Sidoti & Company: Great, and in terms of the lot growth, you’re [typically] the lots that you own and control quarter-over-quarter. Do you have any specific number in mind that you are trying to get to by the end of 2014 or 2015 or 2016?
Eric Lipar: We don’t have a specific number in mind, Brendan. We look at individually on every specific deal that we look at it has to pass our acquisitions committee and make it meets our certain hurdles. I will say that, based over the last three years we have certainly grown a lot and we are looking out into the future and still expecting good growth over the next few years. So it is going to take a little bit more lot supply to hit those numbers. So I think with our growth trajectory, we got the needle a little bit heavier, owned and control lots then maybe some other builders.
Brendan Lynch – Sidoti & Company: And I think you debt to total capital ratio would be a factor in considering acquiring more lots. Can you just remind us what you are comfortable with in terms of debt to total capital?
Charles Merdian: Yeah, sure this is Charles. We are comfortable with a 50% debt to cap or slightly higher, that’s with our recent amendments or agreements get as close to that and we feel like that’s sustainable.
Brendan Lynch – Sidoti & Company: Great, thank you very much for the color.
Charles Merdian: You are welcome, thank you.
Operator: Thank you. Our next question comes from the line of Michael Rehaut from JPMorgan. Your line is now open.
Michael Rehaut – JPMorgan: Thanks for taking the follow-up. I just wanted to circle back, you have gotten a few questions about guidance on some of the assumptions and what I wanted to focus on, was just on the closings guidance because, I believe effectively in the back half of the year it translates with the 2,300 closings for the year, it’s about a 20% closing growth rate versus materially faster closing growth in the first-half and the July year-over-year, I think was closer to 13%. And if you look at the stronger growth in the first-half of the year in terms of closings, you basically more or less matched your community count growth, plus or minus a little bit and with the community account growth likely in the back half of around 50% and you are looking at only closing growth of 20%, obviously it points to a decline in projected sales per month I guess. I just want to make sure what, really what’s going there because certainly you have been on an aggressive community roll-out pace up until now and your sales pace has been able to more or less keep up with that and so your closings has more or less mirrored your community account growth and it seems like there is a bit of fall-off in the back half. So just trying to get a sense of why that is and I guess July so far more has borne that out a little bit but what’s driving that?
Eric Lipar: Yeah, Mike I’d answer a couple of different ways. First of all 662 closing for the second quarter was a phenomenal quarter for us, wiped out virtually all of our existing houses. So we got to build back-up inventory, certainly expanding a lot, having a lot of growth, some of our communities that have been selling out and moving into higher price points. So we are more conservative on our assumptions for closings, certainly with all our growth, new people, new managers, new Vice President. So we are concretive on our goal. Last quarter we raised our guidance from 2,200 to 2,300 and we feel that we want to make sure we hit these numbers when we tell everyone what we are going to do. And 2,300 for now seems very doable and averaging in a couple of hundred closings a month for the rest years, seems like we should project for now.
Michael Rehaut – JPMorgan: Okay, no, I appreciate that. And I guess also on the SG&A, just to make sure I understand there, the – Charles when you talked about 14%, is that for the full year and is that kind of when you say 14% it’s a kind of like in the 14s per se because I think you do a 14% even for the full year would also kind of push the EPS guidance, I think above where you are targeting?
Charles Merdian: I know it’s definitely more our target. On last call we were targeting 14% for the fourth quarter. So we feel comfortable that, that’s where our target range is. So whether it ends up at 14%, 14.5%, 15%, between the third and fourth quarters will just really depend on where the top line comes in at.
Michael Rehaut – JPMorgan: Okay. All right, great. Thank you very much.
Operator: Thank you. And at this time I am not showing any further questions. I would now like to turn the call back over to Eric Lipar for any closing remarks.
Eric Lipar: Thanks everyone for joining the call and thanks all to the LGI employees for a great quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.